Sebastien Bazin: Good morning, everybody. I hope you are many more to watch me as opposed to those in the room. But for those of you who came this morning, thank you so much for being here.  One thing that I want to share with you since it doesn't happen that many times. And since she was on the video, Maud Bailly and she might be, I know well, she might be actually watching, she should not, but she might. Maud Bailly, our Chief Digital Officer, that you know well. Just gave birth to a baby yesterday, called Clara, she is very healthy, she's very cute. And so if you -- if the two of you watching me Clara and Maud, big kiss. Don't come back too soon, stay with your two daughters. We start with year-end results, I have a quick introduction and then we'll go to the meat on the bone, with Jean-Jacques Morin and then I'll come back with some closing remarks. The first slide, which you know well, and it's probably the lifetime, we're going to be showing it. And you've seen it evolving over the last 7 years, it's only telling you that the transformation is over in terms of what we started the last 6 years. You see very quickly that, I guess, we are today at 96% asset-light. There is maybe another 2%, 3%, 4% to go, of course, we're going to be tackling it. But just forget about it. Accor is today a pure asset-light company, which means we have sold all the real estate. Whether it was leased, whether it was owned, that Accor had accumulated over the last 50 years. Second item on which we worked quite a bit, very consciously, is really trying to increase, and we did succeed the luxury upscale segment, which was 12% in 2019 -- 2012 -- 22% and then today, it's 41%. And believe me, with -- and I'll show it to you in a minutewith a pipeline having been signed over the last 2 to 3 years. As of today, Accor will be 50% geared to luxury and upscale. And again, we'll go on the Q&A why that is critical and important. And on the global exposure. You remember very well, because that was not too long ago, that was 6 years ago. Accor was at the time, 80% European concentrated model. And it was 75% ibis, Novotel Mercure which was economy and mid-scale. Today, you have a very different picture. In terms of geography, Europe accounts to 42% as opposed to 80% 5 years ago. It doesn't mean we're letting go, and we're no longer concentrating on Europe. We are indeed continuing and probably enhancing and boosting development in Europe, but we've been going so fast, organically and through acquisitions, Asia Pacific, Middle East, Africa, South America, Canada, the U.S. is today the bulk of our business. So well diversified servicer and much better segmentation in terms of profitability. On the markers for the years, I've been insisting over the last few years on one word that one of you might remember, called agility. Agility is trying to make sure that while you are transforming a company, trying to make it stronger, better. Are you able to do it in a timely fashion? Or are you always late and you're reacting to unfortune event, geopolitical events in which you wish you could have done something and you have to assess you could not because of market conditions? Well, that's absolutely not the case for Accor. We sold the 5% of AccorInvest, we sold the 5% AccorInvest. I don't know how you go back, I did push it. Here it is, sorry, late last year, and that was a very good trade. And you remember the 13% internal rate of return on the money we invested 1.5 years before. Huazhu, we sold 1/2 of our stake with our partner in China. And one has to believe that, I guess, selling it today, would have been virtually impossible. And that was done late November with a very good return on capital being deployed with more than 3.5x the money invested only 2 years before. Then we've sold, and we're probably going to be closing by the end of the first quarter Orbis, which is all the Eastern Europe portfolio. The number here is €730 million. The proceeds back will be in excess of €1 billion. We did have to invest to go from 55% to 85% of Orbis shares. But that's, again, even on the shares we have accumulated to go from 50% to 86% on those shares being purchased. In only 1 year, it was another 22% return. So it was a good move to having realized that investment a year ago. And then we have entered the sale of the lease portfolio and deconsolidated €400 million plus of debt. So it's not anecdotal. All those 4 events have been done in the best ever market conditions, and it is behind us as of today. I'm insisting on this one for one reason, which is the acceleration through luxury and upscale. What I want you to be aware of and not confused because a lot of people actually are not confused, but they don't see it as they should. We keep and we need to, we need, the industry have to change it if we could. We keep reporting to you, each of you, development either in a number of the rooms, 45,000 rooms, 50,000 rooms, or we do it on a net supply growth, 5%, 4.5%, 7% of the total network. So if you keep the standard, it is absolutely correct that upscale and luxury in the pipeline is 35% of what has been secured. However, in our business, as it is for our peers, what matters is not the number of rooms. What matters is the contribution on a fee per room and what is the contribution to your turnover and to your EBITDA. And you see that, I guess, on the cruising speed of what has been signed in 2019 was €1,200 per room. And for 2020, it's €1,600. So those 35% contributes much more on the fee per room, which relates to what I told you a second ago, 50% of the fees of Accor will be coming from upscale and luxury, even though it's less in number of rooms. Insisting here on 2 brands, I'll come back in a minute. Those 2 brands Tribe and greet are new, that did not exist in the end of 2018. One has been purchased, was Tribe in Australia and greet, we launched it very eco-friendly, planet-friendly, reusing, recycling a lot of material. That one you've seen. If you were in this room, exactly 5 years ago, that was brand portfolio of Accor. Ten brands, and very solid legacy 10 brands, which made the adventure very rewarding since 1967 until today. Here, what is the -- what the portfolio is today. The one thing I want to insist upon is that segment here. Lifestyle, in which we haveI think, 11 or 12 brands. That is the greatest growth segment today in our industry in terms of attractiveness for the owners, and attractiveness for the clients. Something that they believe is more unique, greater personalization, greater emotions and certainly different from a lot of legacy brands. Doesn't meanby the way, that we should be moving out of legacy brand. That's absolutely not the point. The point is, Accor has been ahead of the game, certainly ahead of anybody else on investing heavily in 12 very differentiated brands and even differentiated per geography. And then you see the regional brands here. Just one moment to pause. I keep saying it, and people probably need to have a better clarity. 12 brands represent 90% of the money we invest in, which is the 12 global brand, the ibis, Mercure, Fairmont, Sofitel. Those brands you see here as good as they are. Some of the brands you see here Tribe, greet, Mama Shelter or Angsana. We spent very little money, but we want them to continue to exist, to continue to be powerful locally within South Africa, within Turkey, within Chile, Peru. So there's no confusion on the momentum on where Accor should be allocating most of our resources. That one is new. We showed you last year. The spread in between capital cities and the enormous diversification of Accor in terms of destination. Remember, Paris was at 2.8%, Mecca was at 1%. So most of our cities have been in between 0.8% and 1.5% of total group exposure. We're showing it now differently. Some of you have it, if you want to go deep into the reports, but that's 10 countries of Accor accounts for 60% of basically our EBITDA fee stream revenue, which is the management and franchise fees. That number would be 80%, if you go from 10 to 20 countries. But I want to be insisting upon is those legacy countries in which Accor has been in existence for the last 45 years, you see them. But what you see, which is interesting. Here is luxury and upscale. Luxury and upscale in France, very small, 10%. Remember, I told you, 50% for the group, cruising speed. Germany, 25%, Australia, 35%, UK, 23%. China is a notable exception because we went deep in China with Sofitel with Fairmont, much deeper than we have been with ibis, the traction on the upscale and luxury. And Brazil, a bit like France, 12% being in upscale and luxury.  Here are the other countries missing on this slide, where we've been growing through acquisitions or deeper focus on luxury and upscale. USA, since the acquisitions of Fairmont Raffles, USA, Canada, you have 96, it's actually on the USA., 96% of our exposure is upscale luxury. United Arab Emirates, 76% upscale, luxury; Saudi, Saudi Arabia, 60%. Canada, 94%. So that 42% here, which you have is really due to a lot of new acquisitions and the business model and the strategy we had planned for, 3 or 4 years ago. We have today 5,000 hotels in the network. We know this. We have signed today another 1,200 hotels, 208,000 rooms going forward. And remember, 35% of those being upscale and luxury, but it is 50% of fee contribution. You see that in North and Central America, 36,000 rooms, 38,000 existing. I'm actually not happy with only 5,000 being in development. As a percentage of what we have, we need to show muscles and to go deeper there. And we're certainly doing it faster today through Delano, Mondrian, SLS brands of sbe. South America, we are so big over there. But we do have 62,000 rooms and 14,000, it's good enough. We've been deploying quite a bit in Brazil, and we're now deploying in Paraguay, Uruguay, Colombia, Chile, Peru and others. Europe we are, as you know, extremely big, extremely strong and by threefold, the leader with 344,000 rooms. We need to get better on the 46,000, this is not enough compared to our size and muscle. So we're actually redeveloping dedicated resources to help grow in Eastern Europe and in Western Europe. Middle East Africa, see the supply and the pipeline, 45,000 compared to 64,000. We're growing fast in a very interesting market, but very difficult market because everything is different between countries in sub-Sahara Africa and certainly countries in the Middle East. And of course, Asia Pacific, which is alone, 45% of Accor pipeline. That is 100,000 compared to 232,000. Nothing new here. Just to, again, insist on where are we developing ourselves, which countries for what kind of results. On the last slide before I get it, I give the microphone to our friend, Jean-Jacques, there's 3 things here that I want you to remember and to anchor always. The first is we need to show it better. Our business model is incredibly solid, robust and can weather a lot of tempests. We have certainly a global leadership in hotel management in the world. As you may know, Accor is the largest hotel operator on the planet. Some could be bigger than us, but they're much more franchisor than operator. Is it good or bad? We can discuss this, but less at least recognize what our strengths are. We are certainly number one every place except in America and in China, and I keep repeating, we'll never be number 1 in China, and we'll never be number 1 in America. That's okay. We have a brand powerhouse, which is unmatched, with 41 brands in different segments, and I told you between local, regional and others. The platform, we signed, a very significant partnership with Sabre, announced a month ago. And finally, combining together on one unified technology platform, what is today our CRS customer reservation system with our PMS, property management system on the cloud. It's going to take 18 months, but that's an enormous initiative, it's going to be very well received. It is well received by our owners. We have 100 countries footprint with a lot of people on the ground, much more so than anybody else's. We are responsible for 300,000 people working under Accor brand and happily responsible for them. And we have expertise on both management and franchise. One-stop for owners. Owners don't have to go any place else, within Accor shop, they can find the country they want, they can find the model they want, they can find the brand they want. And they can find the talent they need. We've been daring in getting into augmented hospitality, the John Paul, VeryChic, Onefinestay, D-EDGE, I'm sure we'll talk a bit about it. Happy we went there ahead of the game. And it is now paying on what we've been investing upon. And then we have these Accor Limitless loyalty program that we've been launching going fast. And again, we'll talk about it in a minute. Monsieur Jean-Jacques. It's your turn.
Jean-Jacques Morin: Okay. [Foreign Language] All right, beautiful slides. Hello, ladies and gentlemen. Very happy to be with you. So I'll -- I'm going to talk about the financial performance of 2019. And to start on that, I'd like to get some kind of an overview to you of what were the key achievement. One thing about 2019 is that the world wasn't easy. We went through Brexit. There was the trade war. There werein the end of the year, what happened in Chile, and I'm forgetting many other events, not maybe because we've got some niche people with us talking of Brexit. So we went through all of that. And despite all of that, we're in line with anything we told you. So I think that's the key element that I would like that you retain from the 2019, basically achievement, which is we've weathered the tempest. Now talking about the two key driver of business momentum in our business model, which is RevPAR and organic growth. We end up with a positive REVPAR, 1.7% system RevPAR growth. And I'll obviouslydetail all of that, but it shows the resilience in the world, which, againwas not easy. And then we were at 5.1% of net organic system growth, i.e. very much in line with the 5% that we provided to you as the long-term guidance. The -- how does this business momentum translate into numbers, into financial performance? Revenue crossed the €4 billion mark, €4,049 billion, which is a 16% increase on reported basis and 3.8% on a like-for-like basis, the EBITDA ends up at €825 million, which is very much in line with our guidance, and the cash conversion, how the EBITDA translates into cash ended up at 77%. You may recall, we provided a guidance of 70%. So on the basis of that financial performance, how does that translate for our shareholder? We announced back in December, a €1 billion shareholder return. We'll give some details about the modalities of it today. On top of that, the Board of Directors decided to submit for approval at the General Assembly, a cash dividend, a dividend, which is going to be of €1.05. It's going to be either in cash or shares. We'll detail that a bit later on in this presentation. So that's the overview. So let's try to break down a bit the business momentum. And the first one is development. So it's a slide that says record, record, record, anyway, you would expect record, but we do record. So we are there. We crossed the 5,000 hotel mark. We are at a bit more than 5,000 hotels in the network, which translates into 740,000 homes. We open 1 hotel a day, we open 1 hotel a day. We sign 1 hotel every 16 hours, and that translates into a pipeline of more than 200,000 rooms today, 208,000 rooms to be precise. So that's the first driver of the performance in the asset-light world. Moving, in fact, into the second one, which is RevPAR, I quoted the 1.7% RevPAR growth into financial year 2019. You've got here the key component of it. Europe, Asia Pacific, rest of the world. So Europe ended up at 2.6% for the year. France posted for the full year, also 2.6% as a RevPAR. The, you may recall, H1 was very strong at 4.7%. H2 was a bit more modest at 0.6%, but one thing to remember that last year, H2 was at more than 8%. So everything being equal, the performance were there and was boosted, in fact, in the first part of the year by the air show and women's soccer cup. The Paris was up 1.6%, and the Provence was stronger to 3.3%, which also translates some of what we saw as strikes in the end of 2019 in Paris. So Germany for itself was at 1.4% RevPAR. So very good Q4. UK posted a number which is slightly positive at 0.2% RevPAR, again, with a different situation between London, which continues on a positive trend, 2% RevPAR whereas the Provence is a negative 1.7%, and this is driven by a weaker corporate demand linked notably to Brexit. If we move to Asia-Pacific, which is the other big guy in our group. So the RevPAR was down 0.9%. But then again, we find the effect of what happened in Greater China, with the trade war. We have a RevPAR for the year at minus 0.6%, 0.1%. And on top of the trade war, which we have been experiencing since the beginning of the year, there was in the latter part of the year, the Hong Kong turmoil and all of that basically affected the business that we do in China, but also the business that we do in Asia. To give a number, the RevPAR in Hong Kong for Q4 was minus 50%. This translates totally in places like Australia, and Australia was plagued by this China trade war thing. And on top of that, they suffered bush fire, and so it really didn't help having a good environment in Australia. The rest of the world. The rest of the world, there is a very rosy part of the world, which is called South America, not, because of Brazil and because of the rebound of Brazil, so there, we experienced 12.3% RevPAR growth and notably with good pricing in São Paulo. And then as far as Middle East and North America are concerned, were slightly positive RevPAR which ended up being better than what you see in those markets. If we look at how those 2 business momentum driver translate into revenue, we've crossed the €4 billion mark. The 16% of reported change is due to the tune of 11% to perimeter because we integrated Mantra and Movenpick. If we look by segment at what happened, HotelService is up 4.6%. And I'll detail more what was happening in management and franchise fees just after. As for Hotel Assets, we have a revenue, which is up 2.9%. The reported is much bigger at 43%, but this is, again, perimeter effect.New Businesses under -- about 4%. But as I will explain later on, with a diverse, very diverse picture between one [Indiscernible], the rest of the business.And the Holding & Intercos is just reflecting Mantra and Movenpickintegration. Now going into more granularity in this revenue. And starting with HotelService, and in HotelService, starting with management and franchise, which is the crux of where we make money. We crossed the €1 billion mark, and we are up 3.8%. It is on the back of the RevPAR, but also of the development of the year. And you may recall the development of the year was skewed towards Q4, 40% of what we opened, we did in Q4 and so that's how the numbers get derived. So going region by region, briefly. Europe is 4% growth. There is a 2.6% RevPAR, the rest is development. Asia-Pacific is a positive 2.3% growth. And remember, the RevPAR was negative. And this is helped by the strong development that we experienced even last year in Asia-Pacific. Middle East is a 5% growth. Again, the RevPAR was not very strong in that part of the world, but the organic development was better and we had some termination fees in Saudi Arabia that helped complement. And the last one is North America and South America onto which you have a performance, which are respectively 1.5% and 13%. The 13% is where you see the very strong recovery of Latin America and in Latin America of Brazil. So moving into the RevPAR -- sorry, I haven't finished on revenue, I move now to EBITDA. So EBITDA, the view by segment. So the EBITDA grew 14.8% on a official basis, 5.9% on a comparable basis. You see here that HotelService is up 5.8%. And one thing I'd like to highlight here is that marketing expenses ended up in the year, being 15% lower than initially planned due to some phasing effect, and you may have seen that all was officially launched last December. So I had kind of told you that we would be seeing some favorable here. The number in the end is 15%. And so what you will see is you will see a shift of this 15% to 2020 in as we will accelerate, in fact, the effort around all. Regarding Hotel Assets, the number is not good. It's a 7.3% decrease in EBITDA, and this is essentially explained by Mantra, the leases and the very difficult situation that we face in Australia, with RevPAR down 7% on the Mantra scope. So I'll detail that in a specific slide after. New Businesses. We have a commitment to you that we would be at EBITDA positive in Q4, and we did meet the EBITDA breakeven in Q4. So again, I'll detail what's happening in new businesses a bit later on. And finally, on the Holding & Intercos, one thing I'd like to highlight is that there was a shift of benefit plan, which were accounted in the Holdings and have been pushed to the place where the employees are employed, i.e., HotelServices, largely. And so this is the reason for why you see a favorable between 2018 and 2019 on the Holdings. So we basically put the costs where they should always have been, i.e., where the employees work. So moving, in fact, now to more detail on the EBITDA of HotelServices. I'll show you the performance, sorry, you have faced to you the performance by region. It's a good 8.3% increase on the EBITDA. It's obviously driven by the revenue that we just went through. It's also driven by some of the cost efficiency plan that were launched, you may recall, the €100 million restructuring plan that was launched at the end of 2018 and which is giving fruits and notably in Europe, and last but not least, we had a strong focus on receivables and we're able to collect close to €50 million in 2019. So that helped fuel all the numbers off the table that you got faced to you. So I would say, a sound management there of the EBITDA. So moving now to a point of focus on Mantra. The one thing that I'd like to start with is that Asia-Pacific is the fastest region for us. It has been the fastest region because this is where 50% of the development has been occurring over the last years. And we, so you see here, by the way, that it is 33% of the revenue of the group, when you add up HotelServices and Hotel Assets. So the only thing that you don't take when you do that ratio is reimbursed cost because it doesn't make sense to do that with the reimbursed cost. But out of the €4 billion, there is €3 billion of revenue, which is HotelServices and Hotel Assets. And if you do the [indiscernible], you see that Asia-Pacific is 33%. To put things in perspective, this number last year was more to the tune of 26% and was even a much lower number in previous years. And part of the element is the development, I went through, part of the element too is the decision that we took to strengthen our positioning in Australia. Australia has been a very good country for Accor for many years. It's a place into which the GDP has been growing in a row 28 years. There's not a lot of places in the world where you can say that GDP has been growing year after year steadily for 28 years. I don't know any of them. The thing that we've been facing and that I went through earlier on Asia and Australia has been driving the fact that the GDP this year in 2019 for Australia is, in fact, the lowest since 2009. So it's still positive, but it is the lowest since 2009. So that's why you've got negative RevPAR. And that's why, in fact, when you do an acquisition, just like Mantra, which for strategic reason is the right acquisition to do, it put us the number 1 by far in the country with more than 20% market share. Because of the acquisition nature and the leases that you've got in those, in this acquisition, you had an effect to the bottom line when RevPAR goes down, which is significantly, and that explains the performance of Asia, and that explains why the EBITDA for Asia was the negative 7.3% that I showed before. So all this explanation to tell you that since we are below the initial business plan by €40 million, we took an impairment to put it back to the right value of €150 million in the account of 2019. Again, all of that will turn around because, as I said, this region is a very sound region with very strong history. And so it's a question of timing. I would like to give you maybe a different view on merger and acquisition, because I don't want to -- you to think that I do acquisition to do write-off. I wouldn't like that. So joke aside. Here is a table that shows you what we've done on the core acquisition that we did over the last 4, 5 years in terms of amount. FRHI, Mantra, Movenpick. What you see on the table versus the synergy that we disclosed, we disclosed to you the €65 million, we disclosed to you the €11 million for Mantra. We are in advance of the plan that we told ourselves, i.e., we're going to do more synergy than what we said we would do. Now why is that? It's because, in fact, those synergies are essentially cost synergy. And they are always based on things that we know how to execute. Like relocation of headquarters, IT infrastructure, procurement, rebate, all these kind of things. And that's why we are able to so cleanly execute on synergy. So in the case of Mantra, we are above and ahead in terms of synergy. It is just that the market is not there. So I move now to the other segments that we report on, which is New Businesses. You see that we have been reporting losses in 2016, 2017, 2018 and we are back in 2019, very close to zero. And so the turnaround that we have promised is paying off. And this turnaround has been essentially focused on onefinestay and John Paul. If you were to speed the business, put onefinestay and John Paul aside, on the rest of the business, the growth is double digitand the profitability is double digit. So the next step that we've got now for New Businesses is that we're going to do two things. We're going to either integrate some of the businesses where they belong. And this is the case today already of Gekko, and we'll do it also with VeryChic. How we're going to look at how to further grow those business through a partnership and the strategic review, which is the case of the D-EDGE, which is the case of onefinestay and which is the case of John Paul. So we are really reshuffling here to get the most value from the investment that we've done. So that's so much for the review of the businesses. I move now to the bottom part of the financials, the dark side of the financial, the one below EBITDA. And so the bridge from EBITDA to net profit. Here, the first thing that you see is a strong increase in depreciation, amortization and provision, moving from €200 million to €328 million. This is essentially linked to the acquisition of Mantra and Movenpick and the IFRS 16 implementation. So IFRS 16 requires that you depreciate the assets that you put them on the balance sheet and then that you recognize the depreciation associated with the right-of-use on the asset, and this is to the tune of €150 million in the €300 million that you've got in 2019. The second element that you see, which is worth commenting here is the share of net profit of associates and joint venture. We discussed that a bit when we published H1. The elements of explanation are the same. I mean, the first one is on that line, you've got Huazhu, which is a significant investment that we did in 2016. And so China being what it is, the result of Huazhu this year are not the result of Huazhu last year, and this is explaining part of the drop. The other one is we have that significant investment in AccorInvest, the 30% that we've kept of AccorInvest, which is showing in the account on that line. And AccorInvest being now an independent company, it has a financing structure, which is the one of an independent company. It does not benefit anymore from the family good financing conditions. And there was a very significant increase of their interest charge. And so that's part also of the bridge. And the last but not the least, is sbe. On sbe, in fact, the negative profitability of sbe is driven by the fact that we are working on the refinancing or they are working on their refinancing of their, of the company because they've got some debt, which is mortgage debt. And this financing is going to be closed very shortly, but was not yet closed at the end of December, and hence, you've got a very large interest expense in their account, which is explaining a negative profit in our account. So that's in simple words, how the associate drop can be understood. I'm moving now to the third line, which is shifting the €600 million, just a little amount from minus €400 million to [indiscernible]. What you see here is the effect of what we pushed for in terms of asset-light strategy, i.e., divesting of, the sale of Huazhu and making sure that we clean the balance sheet as much as we can. And so this has generated close to €300 million on one-off profit and this is offset. That's where on that line, where you find, in fact, the €150 million impairment from Mantra. Last year, you had some restructuring, if you recall. The fourth line that I would like to comment because it's, again, a big shift. It's moving from €2.3 billion to 0. And this is essentially the profit from discontinued operation, where you had last year, the one-off gain from the sale of AccorInvest. So the accounting gain, which obviously, you don't have this year. And that's why, in fact, the net profit shift from €2.2 billion on discontinued to close to 0. So that's on the lines before the EBITDA. Moving into more balance sheet type of item, cash type of item, this is how you move from EBITDA to cash. So from the €824 million, €825 million sorry EBITDA to the €434 million recurring free cash flow. You will see there a new line, which is called reimbursement of lease liabilities, the same way that you had the depreciation and amortization showing up on the P&L, you've got here the equivalent for the balance sheet. And so that's the new IFRS 16 implementation role, and that's why you have the lease cash payment. The second line that I'd like to highlight here is that in terms of recurring investment, we are at €160 million. This is very well in line with the CMD, Capital Market Day guidance. We said that we would be at max at €200 million. And last but not least, you, some of you had questions about the working capital, which was a very negative number at the end of H1, and we had told you that we would be back to 0 and that it was essentially a timing effect, and you see here that we did what we say. So the bottom line of it is we're at 77% cash flow conversion. So the ratio of conversion of cash -- EBITDA into cash, which again is very much in line with what we want it to be. I move to net debt and the bridge on net debt. I'll sound like a broken record, but the largest explanation is IFRS 16. IFRS 16 adds to the net debt, €1 billion. So the €978 million that you've got as the first column. As we are reclassifying Movenpick in asset held for sale, because as you know, on Movenpick, the transaction is signed and will be closed in -- by the end of Q1, we in the account, consider it, as asset held for sale so subtract it from the €978 million. And then the other element are pretty straightforward. On M&A, the positive €188 million, so positive cash generation on M&A is coming from the sale of Huazhu and the sale of AccorInvest. So it's cash in for the company. The hybrid delta is just a result of us reissuing what we need in terms of hybrid in 2019 and buying back only part of the hybrid to the tune of 86% of what we had outstanding. And so there will be a negative difference this year -- and there will be a positive difference this year, and then there will be a negative difference next year, but it's essentially the timing of the operation of refinancing. So nothing here of significance. Talking about debt. We did spend a lot of time, further strengthening the balance sheet in 2019. We basically refinanced for €1.6 billion of debt. €600 million of senior bond and €1 billion of hybrid. You can see from the left table that we worked on the maturity, which is now at 3.7 years. The cost of debt before hybrid so the bond debt was also slightly reduced to 1.8%, just as a perspective. We were at 4.3% back in 2013. So significant improvement over time. And talking about the hybrid, what you don't see here is that the cost of the hybrid, which used to be 4.1% to 5% as a coupon is now at 3.6%. So we really worked clear who isin fact, standing therereally worked hard on making sure that our balance sheet is here to -- for the future. Briefly on the dividend. You recall that our dividend, as we had told you during -- in 2018, in the Capital Market Day is based on 50% of the recurring free cash flow. What we do as an adjustment to that computation is include Orbis and also rework the MIP so that it doesn't -- is not a detriment to the shareholders. The mechanical computation of that would give a dividend of €0.98 per share. And the decision of the Board of Directors was considering that in 2019, we were finalizing transition and that the dividend for the last 2 years has been to the tune of €1.05, we would propose €1.05 per share at the next General Assembly meeting. So that's what I introduced on my first slide. The one point also that you have here is that the payment options will be either 100% cash or 100% shares with a 5% discount, if you go for shares. So I'm going to move now to something a bit more fancy, which is Accor Live limitless. Accor Live Limitless update. What you have on the first block is all what we did since December. We basically launched the new premium status. They're called Diamond and Limitless. We put in place some enriched benefits, just like on more brands, more F&B benefits, higher generosity. And then we have been working very hard on partnership. You surely recall the emphasis we put 1 year ago on the partnership and how much could be derived in terms of value for, of our customer for our client, for our owner by pushing those partnerships. And so we have announced last Tuesday this week that we signed with Visa as being the provider for the cards. And I would like to show you a short video from Mr. Al Kelly, who is the Visa, Chairman and CEO. [Audio/Video Presentation]
Jean-Jacques Morin: So this is a huge step forward for us because we're really entering in a world into which we were not, and there is significant potential. This potential we quantified for you 1 year ago. This is the table on the right part where we told you that by 2022, we would generate more than €100 million of revenue coming from those partnerships. So again, we just launched it. So 2019 was a doubling of the amount, but the base was low. It's €6 million. And so what you will see here after is the doubling of the amount, to make it simple. And this deal with Visa is the first step on it, of it, sorry. We are now in the process of shortlisting banks, shortlisting countries and you will see more announcement coming up on this in 2020. The other element that makes that €100 million, which you have some example of it in the point 3 of the left bucket, this is what we will do with airlines. So we launched miles and points with Air France in 2019, but there are some announcements to come with other airline companies in 2020. And then the last element is, you may have seen that we have a partnership with the Grab, which is basically the Uber of Southeast Asia. And again, this is what we call the mobility part of the partnership revenue. So all of that is to come. But now we've paved the way with those 3 elements in the current fiscal year to go and get to this €100 million. The last bucket, which is the one in the middle is what will derive from all the stickiness that you create with the customer, modest increase in 2019 of 30% to 31%. But again, remember that all was really much worked on during the year and only really coming in effectivity in December. So that's why you will see more in the coming years. And our target is to be above 40%. That's on the Accor Live Limitless update. I move now on the other element of what was into the old program, which is sponsorship. To make it simple, what is called media value in those businesses is the equivalent amount of euro that you can achieve by what you launched in terms of sponsoring. So it's the amount that you would have spent yourself. If you were to go and get the same level of media attention. And so this is a competition, which obviously, is not done by accounting. I don't know too well how to do that. But Nielsen is obviously much, much better than me on all of that. And you can see that it is a very significant amount because in six months, as we've already launched the equivalent of €200 million of media value, i.e., if we wanted to get the same level of attraction -- attention, sorry, in the world, whether it is online, i.e., on the web, whether it is on social -- online is also TV whether it is on social media or whether it is offline, i.e. paper, we would have to spend more than €200 million. So it's a very, very significant number.  And with countries which are, quite surprising, because you see that in Brazil, we already have more awareness of all, then we have awareness of the Le Club Accorhotels, that has been in place for 20, 30 years. So the [Indiscernible] is 16% to be compared to 19%. So this is much better than anything we had foreseen. And we are very happy with that result. Me, especially because I'm a fans guy. Closing. So what I did there is I did something where I took back what we told you in the same meeting 1 year ago. And that's the left part of the table. And what we told you is that we would work on openings, we would work on M&A integration, we would work on EBITDA, we would work on cash conversion, and we would work on the perfection of the asset-light model. And so we did a lot of that. I went through that. And the plan for 2020 is essentially to go and do that further. It's essentially to be even better at all those dimensions, and it's essentially doing what we said we were going to do year after year, period after period and just be consistent there. And so we will work on openings and get to new records. We will continue to work on the integration of what we have in the company. We will pursue the €1.2 billion target in 2022. We will continue to ensure that the EBITDA, which is generated does translate into cash. And we will pursue whatever needs to be pursued on the asset-light model. We are essentially there. We still have the Mantra leases. But on the rest, we are done. So that's how I wanted to conclude, a lot of consistency in what we tried to say and what we tried to do. Thank you.
Sebastien Bazin: You left me 6 minutes.
Jean-Jacques Morin: Yes, but you are late
Sebastien Bazin: I know, I was probably late. I don't.
Jean-Jacques Morin: No, you were late, but I'm just in time.
Sebastien Bazin: Okay, I did not -- okay, I'll go rather quickly. On the closing remarks, which is what JJ alluded to you. It's not here by accident either. What I wanted to show you is that out of those 7 events, and we probably could have put 12, 10, does not matter, actually. Out of those 7 events, certainly 3, same time last year, we knew a bit about, when we've done the budget, and when we looked at projecting forward 2019. We knew about the U.S.-China trade war, yes. We knew about Brexit, that it would be turmoil. And we probably, and we knew about Middle East, Africa, geopolitics and uncertainty and the embargo in between different countries. We had no clue of Hong Kong, no clue of the bush fires. No clue on the yellow vest and no clue on turmoil in South America. Each of those items had an impact on Accor revenues, Accor EBITDA, Accor cash flow. Each of them had a direct RevPAR impact. And each of them we've been able to find elsewhere, either in the cost or in other geography means to meet the 2019 numbers that Jean-Jacques talked to you about. So the only message to you is, Accor has the ability because we are so diversified to weather some difficulty in countries, and thank God, have opportunities in others. And it shifts all the time. A country might do solidly for 5 years then going to be going into difficult times and it's another country who actually picks up. Coronavirus, CORVID-19. You can look at those numbers. The one thing I want to say before I talk about numbers and about this slide. We have, and many of you probably don't have any precise view on it. We have in China, responsibility for 225,000, sorry, 25,000 men and women working for Accor. What we have done over the last 6 weeks, and this is the only thing we have done is, every day, we're being physically through the executives in China next to them, connected with them, me calling other people, calling with only one thing in mind, are they safe? How do they feel? How could we be there for them on protection measures? How could we make sure they can be reunited between the kids, the parents and their siblings? Is there anything they need from us in terms of procurement? In terms of meals? So that the only thing we have done is looking after them. The second thing is made Accor 100% available to Chinese authority, whether it was provinces or whether it was in Beijing, which means offering to them, and it happened.  Availability of 20% of the hotels we have closed in China, and those hotels will be occupied by administration of China, medics and a lot of actually, experts who needs to be physically someplace to be able to work and find the solutions. Preparing meals for a lot of people working in different hospitals. So that's what Accor has done, and we've done it because we've been there for 47 years. We know absolutely everybody within each province. We, and with the owners of our hotel, we have all the network and capacity not to be in charge, but to be available. So that's what we've been doing. Could we have done better? I don't know. But I want you to believe, I guess, this is my only preoccupation. And when it comes to numbers, which is on the slide. There's 2 numbers here. Number one, Greater China, which includes Hong Kong, Macau rooms is more than 10%. Oddly enough, it's exactly the reverse as North America. North America is less than 5% of total rooms, but it's more than 10% of total revenues. Greater China, 3% of our exposure to Accor. The China traveling population going to Europe and going to France is between 1% and 2%. It's 2% for France, and it's 1% to the UK and it's very minimal in the U.S. So there is no impact so far on any activity of Accor outside of Asia-Pacific. And you know that the traveling population of China, which is today the largest traveling population, roughly 140 million, which is 10% of the 1.4 billion. And 90% of them when they travel, they stay in Asia-Pacific. In that number here, what we can tell you because we're, of course, looking at the impact and 80%, by the way, of our people in China, we have asked them to stay at home. They're not physically working in the hotels. We have closed a lot of hotels for distributions. Because it's not the time for them to be at the service of clients, there's a lot of things being today slowing down.  So impact so far in between the start of that very difficult times, and this morning is €5 million of lack of revenues for Greater China. Could it be much more? Of course, it's only going to be depending on what would be and how long that -- those difficult time will last. On Asia-Pacific, which is 33% of revenues. Of course, there is some spillover in between what's happening in Greater China and what's happening elsewhere. I can only tell you, I don't have a number for one reason is because it depends enormously on countries. It has a very different impact in Korea or Japan or Australia or Bangkok or Kuala Lumpur or Singapore, some benefit, some don't benefit. There's a lot of actually cancellation. There's a lot of rebooking, changing destination, we'll have a much better grasp on impact on Asia-Pacific for Accor, probably within the next 20 to 30 days. But what we do and what I've been doing every single day is phone call, talk to them and see what we can do. My bet, which is what you have here is just look at the past and look at what's being said again from the China authority. They said that this morning. And everybody says it, we also confirm it that China authorities are doing a hell of a job on handling today, something which was totally unforeseen on really putting everybody at work, who has a methodology, very disciplined, very orthodox, and clearly claiming that they're going to be reinjecting as much money as needed for the Chinese economy to be reboosted and to basically weather that storm.  We haven't had any cancellation on signing. It's still progressing. We haven't had any one hotel construction halting. There's lesser people on different sites. We're probably forecasting some delays in some opening, which could go from quarter 4, 2020 to quarter 1, 2021. But this is where we are today. The one thing on this slide is when you look at a lot of events that occurred over the last 30 years in different geographies, Iraq war, SARS, China already, financial crisis, subprime, America, Europe and elsewhere. Look at how minimal impact those macro geopolitical events had on the travel and tourism industry. This is a trend, it's in the 20 million of travelers in 1950 to the 1.4 billion of travelers in 2013. And by the way, that 1.4 billion, 50 years if you look at the world tourism council and agencies 3 years ago, we're already 2 years ahead of what everybody planned for 5 years ago. It is growing fast, between 4% and 5% per annum. So I don't know how long CORVID-19 is going to last. The one thing I know is many of us will be of help to China on making sure that we find the solutions and making sure that we basically claim and gain back what could have been lost in the last few weeks or in the next few weeks. What you see on the right side here is interesting numbers, again, shown to you in some occasions. The only thing that I want you to look at is those 2 largest markets. It's the first time Asia-Pacific is the largest hospitality market, hospitality market on the planet. It's been Europe for quite a while. First time last year, they had 8.4 million room in excess of the 8.3 million for Europe. You know about America. America has 2 things to notice. Number one, it is a 74% branded market in the hands of 6 operators. And it is the most mature market with 16 rooms per 1,000 inhabitants. If you look at other markets like Asia-Pacific, which is why it's growing so fast. It's 1/8, only 2 rooms per 1,000 inhabitants compared to 16 in Asia-Pacific and 12 in Europe. Something for Middle East and Africa, only 2 rooms per 1,000 habitants. There's clearly a lot of hotel infrastructure missing and not existing in sub Sahara Africa. So Accor is not only in the gross market, Asia-Pacific, Middle East and Africa, Latin America, in which we're growing so fast. But we also are in the most fragmented market in terms of brand penetration. And this is why we still have a lot of room to grow in Europe as big Europe is, it's only a 32% control branded of which Accor is by far the largest. The assets of Accor is super easy to define. The first 300,000 people on the ground, working on Accor brand on which we have responsibility for. Again, part of those 300,000, you have the 25,000 people in China. And 120,000 people in Asia-Pacific. Brand, Powerhouse, the 4 key brands of Accor is becoming stronger and stronger and better and better defined and unique. Accor Live Limitless, Steven Taylor was very frustrated, come to Berlin. [indiscernible], he's the head of marketing here. There's so many slides, so many films, so many advertising, so many experiencers being done with Accor Limitless. We don't have time to show it to you, and we'll show it in Berlin. Network, 100 countries and Accor number one 1 leadership in half of those 100 countries at a minimum. And the balance sheet. You heard Jean-Jacques. It's never been as solid as today in terms of deleveraging, in terms of cash availability, and in terms of margin, and in terms of diversification. So there is 4 things. When you move forward, well defined. The first thing, CSR, corporate social responsibility. What do you do for your people. What you do for the planet. What you do for handicap. What you do for local communities. What you do for your carbon print. Is there anything you could act upon and make sure that, I guess, the world is going to be better tomorrow? It's not because we feel it that way because the world needs it. And because our clients are looking at it. And because our owners want to be embarked and because you in the room, you also want to see proofs of what large companies could do on being sensible to it and making commitments. So before I go to the next 3, we've made an announcement on January 20 this year -- January 22 this year on getting rid of plastic and getting rid of single-use plastic in room by the end of 2020 and all the rest by the end of 2022. In the room, it's all those shampoos, conditioners, plastic cup, the good news is we'll put something bigger so you don't have to put your eye glass on to see the difference between the shampoo and the conditioner. So at least it's going to help you and me before we get you wet, basically, your hand being wet and you can't basically get the silver [Indiscernible] out.  So whatever -- go back to the first quick video on what we've shown on plastic and commitment made, two weeks ago. [Audio-Video Presentation]
Sebastien Bazin: Not easy to do, by the way. But it's live. It's committed, and we will succeed as we have succeeded on many different topics. Development, it is the name of the game. The only way you can go through difficult times, difficult RevPAR environment is to continue pedaling. You have to sign the maximum number of hotels. Those are the buffer that you have to play with against any down cycle in our industry. And I think many of us could say that and I need to thank the team on what has happened in the last quarter of 2019. 18,000 rooms alone in only 1 quarter. I think we have the best team by far in development all over the globe, that includes design, technical services, include all the developers and legal team, Accor does a hell of a job in signing so many hotels, in so many jurisdictions and in each of those jurisdictions, different legislation, different social rules, different currency, different construction rules, far more difficult than having 70% of the network in 1 single country, America. Accor Live Limitless, we've talked about it, JJ did. I want to end with the last slide, which is probably the most relevant for many of you watching me on the webcast and some of you in the room. Every word counts on that single table. So I'll go very slowly. Increase shareholder return, deploying simple cash-generating, self-deleveraging, asset-light model. I'm not going to repeat it again. You can read it. It is on a paper, and it's not going to go away. Which means the following: you have seen in 2018. And I'm putting aside the ordinary dividend, which is a normal way of conduct on distributing 50% of excess free cash flow every year to investors. But on top of what is ordinary, in 2018, we've done a €350 million share buyback, which accounted for 5.3% total shareholder return as compared to market cap to investors. In 2019, we've increased it from €350 million to €500 million which related to 7.3% of total market cap. In 2020, we further increased it to €600 million, €300 million announced last November, and I'm announcing to you this morning after Board approval yesterday that on top of the €300 million already launched in the 3rd or 4th of January this year, we are going to have another €300 million launched in the next few weeks or few months when we finished the first €300 million. That will be roughly 7.8% of today's market cap. And then next year, already being discussed, approved at the board that €400 million will be also used in share buyback in 2021. But we do say and it's not by accident, something extra on that slide, to be pursued beyond 2021. So what I'm telling you on behalf of the Board of Directors of Accor is a lot of excess cash flow being provided by this company through a self deleveraging simple cash flowing asset-light model. Money should go back to shareholders in the form of share buyback. I've been saying, and I know it's not usual, but I've been shouting a bit inefficiently that we don't believe that Accor is appropriately valued. So the best way to basically confirm it and assess it is to prudently use company's cash and means in buying back shares of our company. That's where we are. And now we go as quickly as you could for shareholders, investors and any of you who could have questions.
A - Sebastien Bazin: Let's go first. Why am I not surprised? We need to have a microphone for our friend, for Richard. Richard, if you could, since we have people on webcast, be kind enough just to say. I who you are, Richard, but I guess, for the audience, just start with your name and would you do, please?
Richard Clarke: Richard Clarke from Bernstein. I have 3 questions as per standard. So you've made some comments on coronavirus there. Helpful. Anything we can say about the Australia fires? Obviously, that was a bigger impact in January. Anything we can read into the €150 million impairment as to what you're thinking in terms of Australia performance into 2020 on the back of that?  Second question is, you've put the €1.2 billion EBITDA guidance on a slide again today. When it was first announced, obviously, things were different as pre-IFRS 16 and there's been some perimeter changes. So just wondering, is that €1.2 billion, comparable to the €825 million of EBITDA you've announced today? And then number 3, you've said you completed the shift to asset-light. You've still got 163 hotels in that asset-heavy business. Maybe just remind us what's in that business? And what can be done to reduce that with that remaining 163 hotel portfolio?
Sebastien Bazin: Richard, I love you deeply. And JJ, you can have another three questions.
Jean-Jacques Morin: So as far as Australia is concerned, the big difference between what we had in the business plan and what we see today is something to the tune of 7% to 8% differences in RevPAR, right? And so part of that is it's more than what you see as being the variance of RevPAR in Australia. But part of that is linked to the geography of where Mantra is. And Mantra is, is very much on the golden coast where you've got people that go there for leisure. And all what has been happening during the year in terms of trade war and you are mentioning the bushfire has been very much impacting the visitor flow. And that's why you've got an even more increased effect coming from visitor portion of the business in the Mantra business plan. So yes, the bushfire does have a specific effect. The second question that you had was on the €1.2 billion. Yes, it is comparable, but this is the magic of number. It's because on the one side, you've got changes in accounting standards, the IFRS 16, which is to the tune of €150 million, rough cut. And then you've got the Orbis, the Orbis transaction and Movenpick, which are going the opposite way. And so all in all, you lose €100 million on Orbis, you lose €60 million on Movenpick, which are numbers that we provided before. So the magic of changes of perimeter, you have the same basis.
Sebastien Bazin: Therefore, we're confirming again and again that we will reach €1.2 billion by 2022.
Jean-Jacques Morin: And your last question was ...
Richard Clarke: Just on the remaining 163 hotels in the asset-heavy portion, what are those? And what's left in there? And what can be done to maybe reduce that over time?
Jean-Jacques Morin: So the largest part of what you've got in the hotel asset at the end of the year is Mantra, right? In terms of value. And then what you've got left is in terms of number of hotels is what we have in Brazil. Because in Brazil, the way business is done is through so-called variable is on EBITDA. And so you've got a significant portion of the business, which is done this way. And that's the way people do finance over time hotels in Brazil. So it's a lot of hotels. It's not necessarily a lot of profit because the profit that you have is in hotel service and not in hotel asset when you are on a reverse list, as you know. And then you've got a very limited number of hard assets in that column. You still have one to hotel in Egypt, which is called Gezirah which we ended up keeping for structure reason. It was not possible to put it in Orbis. And you've got the Sofitel in Mauritius. So very limited number of physical hard ass . And what you've got left, it's hotel assets and other. You've got the other part of the business, which is a loyalty card that you've got, which is only working in Australia, and you got some timeshare business in Australia. But again, this is small businesses, and this is not really hotels per se. So that's what you have.
Richard Clarke: You will look to reduce that down over time? All of those...
Jean-Jacques Morin: No, I think the short thing is that the business that we do in Australia on timeshare and that we do in Australia that loyalty card are good businesses. We make good moneys, and this is not big amounts. The way business is done in Brazil is not going to change that we know of. And so either we don't do business or we do business the way they do business and finance hotel. So this is going to stay. The one thing that we've got to work on is Mantra. But as we told you back in December, and you see that now with the numbers we just went through, it is not the right time to sell an asset when the numbers as what they are because you basically are not very convincing on that basis. And so it's much better off to wait. And when the business will return, and it will return, then it will be the right time to go and do what we did for Mövenpick for Mantra. By the way, the other way of looking at it, if you want to look at the glass left full versus left empty is that it goes down very rapidly. It goes up super rapidly. So Mantra will turn around. Because the business in Australia, again, that's why I was quoting this GDP data, the business in Australia because of what Australia as a country is, i.e., a lot of commodities present in that island, in that continent is such that they're going to grow in the long term, it's just not the case now.
Sebastien Bazin: So another ways, we're going to get back the €4 million we missed last year on the leases.
Julian Easthope: Yes. It's Julian Easthope from RBC. And I've got 3 questions. Maybe I should ask them individually at the times that you can answer?
Sebastien Bazin: Sure. Yes. So we can remember.
Julian Easthope: Yes. So the first one, in terms of your fee base, can you give us sort of broad split between your base fees and your incentive fees. Because it's quite a volatile time. And I just wondered whether or not you had too much in the way of profit guarantees particularly in China, where obviously, there's such a big volatility in terms of RevPAR that could possibly catch us out in some markets?
Jean-Jacques Morin: Yes RevPAR, the number is 30%. It's hovering around 30% to 35% depending on the year. And that's the part of the incentive fee as a percent of the total fees, right? So that's the first answer. And then the second one is that there is not what you described in our contract in Asia. So we don't have like some of our competitors, those big threshold and guarantees as you may see in other competitors in this industry. So it's not significant.
Julian Easthope: Okay. Thank you.And the second question, if we take a look at your new room growth of 5.1% room growth, plus your RevPAR of 1.7%, it comes to sort of 6.8%. And yet your fees like-for-like were only up 3.8%. And I just wondered if -- especially bear in mind the rooms have a higher proportion of luxury rooms. And I just wondered if you could sort of bridge the gap as to where the difference?
Jean-Jacques Morin: Yes. Again, I get that question every time. So I answer every time the same thing. Which is that it's a rough rule that works over time, doesn't necessarily work on a specific geography in a specific time period. And it is even less working when you have negative RevPAR, right? So part of the issue that you have in the equation is that it's much more normative in the computation when you are at a 3% kind of RevPAR. When you start to have negative RevPAR, then all of that is disturbed. But to be a little bit more specific on this -- on the current year. What you have is that you have a lot of the openings of the fiscal year that were done in Q4. I quoted the number of 40% of the openings being done in Q4. So you would -- because of that, you don't have that portion of what grows, in fact, your revenue on top of the RevPAR, which is to the full amount of what you should get. So there was a timing due to the way the hotel opened in the current year.
Julian Easthope: Okay. Thank you very much. And just two little bits. In terms of -- I think you mentioned that Accor Live Limitless was going to be a €55 million loss this year, it was your original plan. I just wondered if you could confirm that. And also on sbe, there was a €46 million loss. I know you've mentioned the financing cost.
Jean-Jacques Morin: Why do I get all the questions? Okay. So the numbers that we provided to you last year on the MIP are the same, exactly the same, except that there is a shift from 2019 to 2020 to the tune of the €15 million. So if [Indiscernible] minus €55 million, then minus €45 million and then close to zero. So you subtract from the €55 million the €15 million and you add back to the €45 million, the €15 million. That's the number you should take in your model.
Julian Easthope: Okay, thank you. And just on the SBC losses, when the refinancing goes through, what's the ongoing likely level?
Jean-Jacques Morin: To -- okay, in the sbe account, okay? The cost of interest is to the tune of €80 million, 80, because they basically have debt, which is the date of this -- in the same way as AccorInvest is not financing itself on terms, which are the equivalent of what Accor can get on markets, which our rates are very, very competitive because of who we are. Once you start to go into the private world, the interest rate are not at all the same. And so once you refinance that, you expect the charge to very, very significantly decrease. Very, very significantly decrease.
Sabrina Blanc: Sabrina Blanc, Societe Generale. I have three questions, please. Unfortunately, I think it's for Jean-Jacques again, sorry. The first one is regarding China and coronavirus. Just to understand, you said €5 million negative impact on sales, is it year-to-date, it's month per month? Just to have an idea, but my more important question is regarding the impact. Have you seen already some impact outside as back, notably in Spain, for example, where some big events like the Mobile in Barcelona has been canceled? The second key question is regarding the guidance in terms of RevPAR. I know we are at the beginning of the year, but what is your feeling concerning the RevPAR if we compare to the 3% long-term growth? And the latest question is regarding new businesses, could you come back and review and John Paul and onefinestay? If we have, can have more color, please?
Jean-Jacques Morin: Some of them, I can delegate.
Sebastien Bazin: Yes, yes, yes.
Jean-Jacques Morin: I think I can delegate some. Thank you for your questions.
Sebastien Bazin: You'll delegate the third.
Jean-Jacques Morin: I'll delegate the third. On the RevPAR, we don't provide any guidance, right? So I think on this one, it's pretty, pretty, pretty easy. On new businesses, I'll delegate to my boss. I like these 2 answers. And on the €5 million, the way the €5 million has been computed is that we just try to take a snapshot of what we see today. The problem with the data around the coronavirus, it has been evolving quite significantly. Nobody could foresee that epidemial and so what we see today is such that if we do a spot computation on, of what we see today in the month of February. That's how you derive the €5 million of fees, right? Then the real question that you've got around the epidemial is how long is it going to last?  And how fast can you rebound from such a crisis. If you look at history, it happened that the crisis were able to be contracted in a reasonable number of months. I don't know if you can talk of reasonable on such a deep, deep subject, but reasonable number of months, and then it rebounded pretty fast. And so that's really what the elements that we don't know today are going to be critical in the valuation of what it does for a given year. Now, yes, you're right, some events were canceled. When you talk about the one that you just mentioned, it's not a lot of money, that in terms of effect for us, we did the competition. It's not a lot of monies. We don't have any data here, which is substantial enough that we can derive something that we feel comfortable at describing to you. It's too early, simply too early. And we don't see it.
Sebastien Bazin: On the new businesses, we, he talked about, Jean-Jacques talked about it and we have Thibault Viort here, if you want to see him, coffee, after the break. It's divide the 3 businesses in 3 different buckets. New Businesses are the John Paul, D-EDGE, onefinestay, ResDiary, VeryChic. The first bucket that we've talked to you about, which has been done is deciding that what is today a strategic industry, proved great talents, very important for Accor should be merged into Accor core business, Gekko. Gekko is a remarkable company interfering, e-billing, digital savvy between travel agencies, between corporate, big corporate accounts. So we incorporated in the global sales of our core department, 100% of the expertise of Gekko. It's still a separate entity, but it's fully today merged into global sales and into the digital division of Accor.  Likely, will be the same for ResDiary, which is booking engine for a lot of restaurants. And now for VeryChic is the sales discounter that we do flash sales, very successfully done out of Barcelona. Then you have a second bucket, which are those companies performing well, but they need muscles, they need fresh capital, they need to grow faster. Great management team and D-EDGE is a good example. D-EDGE is remarkable technology platform, rendering a lot of services on behalf of independent hotels, helping them to assess the best channel for distribution, the best website, the best PMS, the best way of acquiring search words from Google and others. They are couple of hundred developers tech. They are super, super, super good. That company has been growing very fast for the last 4 years, we had it. They need to grow faster, they need to expand in new geographies, very likely. We're going to give a bowl of fresh air to D-EDGE, where you're going to have third-party coming in, likely private equity or industrial operating companies providing funds and acquiring either 40%, 35%, 60%. I want Accor to remain as the big industrial strategic partners. But I don't want to be the one putting back more capital into D-EDGE because we're not the best partner for them to grow faster.  And you have a third way of conducting yourself in some companies, you don't need to remain in the capital of those companies, they should have their own life. They should be autonomous, and they probably should be merging with other operators or being taken over by other operators. But it could be a mix in between different scenarios. So for John Paul, by the way, as you talked about it. John Paul, we're seriously discussing with 2 or 3 different same thematic actors on the planet on bringing forces together, on combining John Paul with an existing basically relationship -- relationship operator, service provider and concierge.  So you'll see a home for each different businesses. What we've been discussing is you know how much we invested. I am fairly comfortable that you're going to see all the money back that we invested in new businesses in very different mix than the one I expected myself 5 years ago. But it is still a very good initiative and solid thematic. And we're not going to stop investing, but we're going to do it differently, but you won't see new businesses the way it's being reported to you. But Accor still is engaged on many innovation, many research and development and true actors in showing a hand to a lot of new initiatives in the travel tourism industry.
Andre Juillard: Andre Juillard, Deutsche Bank. I have three questions. The first one is about asset management. We all know that you have some Mantra assets to sell, and it will probably take a little bit more time than expected initially. Fine, but you still got 30% of AccorInvest. Could you give us some more color on this 30% because, correct me if I'm wrong, the lock-up is until May 2003 could we anticipate shorter lockup or earlier exit, if I mention it differently? First question.  Second question about marketing and distribution. Could you give us some more color about the Sabre partnership, what do you expect from it? And in which timing do we have to anticipate some additional investments in it? And some more detail, please? And the last question about the dividend. It's a very technical question, but why offering the possibility to have a dividend paid by share when, in the meantime, you are doing a share buyback.
Andre Juillard: Asset management,
Sebastien Bazin: Asset management [foreign language]
Jean-Jacques Morin: On the dividend, it's simply because we have queries from people to be able to get their dividend some shares. So it's essentially trying to respond to that. Nothing, nothing else to read into it.
Sebastien Bazin: AccorInvest, we have 30%. We sold 5% to, in November. We have a lock-up 2023 but it was the 5-year lockup since May 2018. We're very happy with that investment. We've shown you that on the first 18 months, there was a 13% IRR. There is a 5% coupon dividend being paid every year. So at a minimum on that €1 billion plus a year of value of the 30%, you get 5% of that every single year. And on top of that, likely, 6%, 7%, 8% IRR because that company is really improving well in terms of growth, sales, EBITDA efficiencies and therefore, development. So it's only going to be a matter of 2 things. One, do we get green light from the existing consortium of our equity partners to relieve us from the remaining 3 years of lock-up? We haven't asked as of yet for them to do it. And the second thing is the minute we ask them, I am quite confident we'll find some amicable solution. But before you do so, you have to decide, use of proceeds. Because that money is very safely invested in a double digit return, where we do have cash on the balance sheet today, which you've seen the number to the extent of today, we have €1.7 billion,
Jean-Jacques Morin: €2.3 billion
Sebastien Bazin: €2.3 billion yielding 10 basis points. So the last thing we need is more cash on the balance sheet when we have safely invested cash in AccorInvest. One could disagree with me, there is, maybe we should be doing a €2 billion share buyback program as opposed to the one announced, but that's going to be a different question to be addressed later. On the Sabre. Sabre is a very audacious initiative. We've done, an RFP request for proposal with a lot of credible industrial partners on doing, building only one thing, which was being designed by the digital team, technical team of Accor is finally combining 2 systems. We don't talk to each other properly today. The first is called CRS, customer reservation system, which in the case of Accor, we built it proprietary, and it's called TARS. And that system represent 80% plus of all the volume, the €22 billion of volume of Accor brand go through our own CRS called TARS. And then you have the property management system, which you find locally in each hotel, and they could differ from 1 hotel to the other. Some have [indiscernible], some ORS. Some have and fourth, you're going to be mutualizing costs in between industrial expert, Sabre in America and the expertise built by Accor over the last 10 years in the same field. So it's never been done before. And in order to do it that way, we've announced it. It's going to be -- you're going to see the minimum viable product within maximum 18 months and Accor will provide in the form of CapEx the needs over the next 4 years to fund that program. And I don't know whether we said the numbers or whether we never said the number.
Jean-Jacques Morin: We did not.
Sebastien Bazin: We did not. So it's not a P&L impact. It's a CapEx impact. Okay.
Simon LeChipre: Simon LeChipre, MainFirst. Two questions, please. First of all, on the 2022 EBITDA guidance, €1.2 billion, does that include the €60 million contribution from the MIP you have announced a year ago? Or we have to think about €1.26 billion? And secondly, on hotel assets, could you please provide us sensitivity from RevPAR to EBITDA, especially for Mantra, please, given the -- what is happening here in Australia? Thank you.
Jean-Jacques Morin: Yes. I mean, the RevPAR to EBITDA, you just use what we used to say in the old days, i.e., that when you are asset heavy, okay? And that used to be in the reference document. The volatility that you have on asset heavy is 3 times the volatility that you have on asset light. And it's roughly a rule of thumb that works well. But essentially, in the case of Mantra, the lease works in such a manner that whatever you lose on top line, you have 80% of it down to the bottom line because it depends after that on your lease levels. And that's why you've got such a fluctuation on the business plan and hence the writeoff.  Under €1.2 billion, yes, it's part of roundup plan. So €1.2 billion is the number, which is much easier to remember the 150 - 1250]. You pick up what you want in 2022 so we have -- 2023. So we have €1.2 million, okay?
Sebastien Bazin: We have Sebastien Valentin on behalf of people on the webcast and now on the phone.
Sebastien Valentin: Yes. So as you said this morning, we have some people in the room. We have about 300 people actually following the webcast and the analysts are asking questions. I will start with Monique Pollard from Citi with 3 questions. The first is, given the €150 million impairment from Mantra and the Movenpick leased hotels transaction. What should we expect for hotel assets EBITDA for 2020?
Jean-Jacques Morin: You know what you should expect is, there is no reason really at this juncture to have a different number on the basis of Mantra. The plan is going to be whatever does the coronavirus do to it. But again, it's way too early to have any number around that. The one thing that you should -- can take into account in the computation, I think there is about €200 million of EBITDA, which is linked to Hotel Assets. There is €60 million of it, which will go away with Movenpick once we close the transaction in March of this year or in Q1 of this year. So that's what you should take.
Sebastien Valentin: Thank you. Second question here. I think you briefly touched on that, Jean-Jacques, but can you give an update on why the '19 D&A charge is so high at €328 million?
Jean-Jacques Morin: Yes, sure. I mean, it's essentially the acquisition of Mantra and Movenpick, which are asset heavy. And with the new IFRS 16 rule that came into the current year, you have to basically reclassify the lease, which was accounted before in EBITDA into 2 charges, one which is depreciation and amortization. And another one, which is interest. So the depreciation and amortization, which is associated with this standard is an addition €150 million to the numbers of depreciation and amortization for the group. And so that's why you moved from €200 million to €330 million, €150 million is IFRS 16 amortization.
Unidentified Company Representative: Okay. The third question, last question from Monique. Can you please explain why the share of net profit from associates and JVs is so low in 2019 at €3 million? And then within the €3 million, what was the share from Huazhu, AccorInvest and sbe?
Jean-Jacques Morin: Okay. I went through that a bit in my explanation, but I'll go into more quantification. You've got, the largest part of the gap is coming from sbe, probably to the tune of €40 million. And then you've got the remainder, which is splitted equally between AccorInvest and Huazhu, rough cut. So you've got 50% of it, which is one, 25, 25, I'm giving you rough numbers on what it is.
Sebastien Valentin: All right. The next question comes from Jaafar Mestari at Exane BNP Paribas. How much of the €15 million provision reversal of the full year was already incurred in H1 '19? And the North America EBITDA was up €11 million in H1, mostly driven by those reversals?
Jean-Jacques Morin: Yes, I think you have part of the answer in the question. So I, if I have to guess, I think it's about 50% of the money that we're able to collect, which was in H1. I remember making some comments in the H1 call around that. And so 50% is a good proxy. So, for what we recognized in H1 of that one-off effect.
Sebastien Valentin: All right. I'll now turn to questions from Vicki Stern, sorry, from Barclays. First question, marketing investments. Given the shift, can you confirm the right absolute amount to assume for 2021?
Jean-Jacques Morin: Yes, I explained that. But I say it again, it's €45 million plus €15 million, and so that should make €65 million. My computation is right?
Sebastien Valentin:  I was computing all questions.
Jean-Jacques Morin: And all of that is a negative number.
Sebastien Valentin: Okay. Cost-cutting program update on net amount to expect over the coming years?
Jean-Jacques Morin: Yes. So when we went through the restructuring charge. You may recall, we booked about €100 million, a bit less than €100 million of restructuring charge in the 2018 accounts. We had a series of plans that we have been executed, one in Europe, one in BCD and one on the central function. The split of that. And we said, sorry, that the return on that would be a €65 million cost saving. And so the €65 million, there is €20 million of it, which is in 2019, €20 million of it that you should expect or €25 million that you should expect in 2020, and the remainder should be in the last year rough cut.
Sebastien Valentin: The next question is on coronavirus. We discussed P&L assumptions. What are our thoughts or your thoughts on potential impact on net system growth for the year? And can we still do 5% net system growth?
Sebastien Bazin: I'll take that one. We're shooting for the same, and we said at 5% net system growth every year and trying to surpass it. I told you half, I mean 45% of the supply growth over the last couple of years, likely to be remaining the case in the next couple of years is Asia-Pacific. So rough cut 25, plus or minus 1000 rooms are coming from Asia-Pacific moving forward. Let's be very careful. You have -- 60% of that is Huazhu, and 40% of that is Accor branded and Accor operated. So as of this minute, we don't know because there's no delay, we continue basically engaging with the owners. As you may know, the Chinese authorities have made debt capacity available at cheaper financing over the last 2 weeks to existing owner developer in China to make sure those projects don't stop.  And so it is still progressing. Likely to be postponed in some projects and delayed in opening, maybe within 4 months, 6 months, 1 quarter, 2 quarter, miss. I would say that probably 0.5 point could be the maximum impact in terms of net supply growth. So going from 5.1% to 4.6%, but two thirds of that differential is not impactful for Accor because Huazhu hotels don't provide any significant revenues for Accor.
Sebastien Valentin: The last question from Vicki is on EBITDA 2020. We don't give guidance at this time of the year for the full year, but could we help analysts by calling out some of the key items we should have in mind or they should have in mind for the bridge from '19 to '20, such as cost cuts, incremental marketing investments, any other thing which they should be thinking about?
Jean-Jacques Morin: I think that's what we try to highlight into the various comments that we made. That's why we make all the comments around the marketing investment plan. I mean, for sure, we're not going to stay as we are, if things were to deteriorate related to crisis, call it coronavirus or things. So we're going to start to figure out what we can do on so-called self-help measure to make sure that we do what we can on the portion that we do master -- that we do master in what's happening. I think the key element on to which really, the visibility is too low today is the coronavirus in terms of transition. For the rest, we discussed about the cost savings, we discussed about the MIP. There is nothing that comes to my mind of significance that I should be adding to that.
Sebastien Bazin: The only thing, and I know it's probably the conclusion to Vicki and anybody else's. And I think we shared it with you, we said multiple things here. We said 5 minutes ago that we are confirming the €1.2 billion of EBITDA by the end of 2020. Therefore, by confirming that number, we're confirming that we're likely growing in 2020 and in 2021 and in 2022. We also said to you that whenever we have turmoil, difficulty in the country, thank God, we have other countries working on 6 cylinders or other continent. We're confirming this again.  Then we said that we have a very simple cash flowing asset, I mean, debt deleveraging model. So simple, we have cash. We have good cash transformation and we also added that we have capacity to deploy and to open 1 new hotel a day in 2020 and likely in 2021 and 2022. So the only word that I want you to go away is optimism. Accor is truly optimist on our capacity to weather many storms as we have done the last many years, and continuing growing the company's performances and growing likely solid returns to the shareholders and capacity to give jobs to many people on this planet and to offer performances to the owners. And to engage further on preserving our dear planet. That's where we are. Can we stop there? Or...
Sebastien Valentin:  I've got like 2 more questions. So I will turn to Jamie Rollo from Morgan Stanley. Question on operating costs in management and franchise, which fell €60 million or 19% despite central costs being reallocated here. Why? And is this sustainable?
Jean-Jacques Morin: Part of it is what I alluded to in terms of reallocating some of the costs that happened to be accounted historically in the holding column that relates, in fact, to benefits, so people cost and that was, in fact, not in the column where it should be. So we improved it by doing an allocation of those costs into that given column. So that's to the tune of €18 million. So that's the, the other thing that you've got is you've got the marketing incentive plan. So all what the €35 million is also showing up in the column called STO, service to owners. So that's €35 million, which is happening here. And then last but not least, we are not stopping the investment in terms of digital and systems and still pursuing, in fact, the plans that we've got to improve some of the functionalities, notably payment in Asia as an example of the things that we do. And so there is continued investment here. It's not necessarily much more, but there is continued investment. So it's not a reduction either.
Sebastien Valentin: All right. Cash was €2.8 billion at December end, and will rise again post Orbis disposal. So even with the buyback, Accor has significant firepower. What is the plan for that cash?
Sebastien Bazin: The plan for the cash is what we've been sharing with you is another €1 billion of share buyback or confirming the €1 billion of share buyback, €300 million already launched, another €300 million in 2020, another confirmed €400 million share buyback, then we have more cash to be deployed. I told you that we're going to be pursuing shares buyback in the near future. And I'm also telling you, we want to preserve rating of this company. So we you do have €3.3 billion of cash on the balance sheet after Orbis. You also have €4 billion-ish of debt on your balance sheet that you're facing. So you can't use the cash without either reimbursing the debt or if you do use the cash, use it properly and wisely to make sure you preserve your rating because you still have kept the debt on the other side. So it's not a simple answer. My answer is, we are very much aware of the solidity and the cash position of the company, and we are solidly prepared to make sure that it will be reinvested, reallocated as properly as it was in the past, which is why I showed you the slide. A lot of the cash being used over the last few years has been properly used in terms of return on your investment, and it was shown in one of your slide, be it, Orbis, be it AccorInvest, be it Huazhu and many -- be it Fairmont Raffles and many other investments. So bear with us and everyone's passing, you'll get greater information on cash deployment.
Sebastien Valentin: Okay. The last question is from Alex Brignall at Redburn. In the hotel penetration data, the om count only include STR hotels, not smaller properties. What is the risk that business models like OU mean that smaller properties are more important, particularly in emerging markets.
Sebastien Bazin: It's a good question. It's a difficult answer. Many of you know, we have met with OU a dozen time since 2014, '13. So we know very well their business model. They are likely very successful in India. They are very successful in China. We don't know as of yet, how successful would they be in America. They are starting in Brazil, they have started in UKI don't know. The one thing I can tell you is on those independent hotels, they have access to a lot of new technology applications. One of them is OU For us is we've never seen -- we call it instant noodles, instant nodules is Accor capacity to sit down with the independent owners and to bring them on board on Accor's network and him innovating one of the 40 Accor brands. So it is a very important market, and you're absolutely right, Sébastien. It's a market we pay a lot of attention. Because it is another way to develop Accor network without the necessity of opening another hotel and adding supply to existing markets. So time will say, but I guess, we are very close to those fragmented markets. It happens to be out of North America, in which Accor is the most present. Sebastien, is that at all? I'm very thankful for those of you who took a plane, a train, a taxi, an Uber, walked, bicycled to come here because at least, we are not alone in this room. Thank you so much, and thank you all of you on the phone. Bye-Bye